Operator: Good morning, ladies and gentlemen. And welcome to Institutional Financial Markets’ First Quarter 2015 Earnings Call. My name is Paula, and I'll be your operator for today. Before we begin, IFMI would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are only made as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. IFMI advises you to read the cautionary note regarding forward-looking statements in its earnings release and in its most recent annual report on Form 10-K filed with the SEC. Please note also that in the company’s earnings release for the first quarter 2015, the non-GAAP measures of performance have been reconciled to their corresponding GAAP measures of performance. At the conclusion of today’s call, there will be a question-and-answer period. [Operator Instructions] I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of IFMI.
Lester Brafman: Excuse, me, thanks, Paula. And thanks everyone for joining us for our first quarter 2015 earnings call. With me on the call is Joe Pooler, our CFO. During the first quarter, we continued to make progress on the execution of our strategic initiatives. Our Capital Market segment had a decent first quarter, driven by a large -- strong January in our U.S. Institutional business. We saw mix results in our principal investing book. While our CLO positions had strong returns, the overall performance was muted by losses in one of our illiquid legacy positions. Our Asset Management segment performed as expected and we continue to working toward closing the pending sale of our European operations. In order to provide additional time to complete the regulatory approval process, we recently extended the deadline for closing the transaction March 31st to June 30, 2015. Once this transaction is completed, we expect IFMI business model to be further simplified. We continued to lowering our expense base during the quarter, thereby increasing the operating leverage of the firm. Reduction in total operating expenses from the prior quarter was roughly $1 million or 8% with nine compensation costs, excluding D&A also down $1 million or 17%, with decreases occurring across all line items. IFMI remains focused on positioning the company for future success and value creation. Importantly, our Board continues to return value to our stockholders through $0.02 dividend for the quarter. As always, in a special account of these challenging market conditions, we will continue to carefully view our dividend policy on a quarterly basis. Now Joe will walk through some of the previous financial highlights in more detail.
Joe Pooler: Thank you, Lester. Our reported adjusted operating income was $1.1 million for the quarter ended March 31, ‘15, compared to adjusted operating income of $4.7 million for the quarter ended December 31, ‘14 and an adjusted operating loss of $700,000 for the quarter ended March 31, ‘14. If the sale of our European operation had closed at the beginning of the quarter, our adjusted operating income would've been $2.1 million. Net trading revenue came in at $7.3 million in the first quarter, down $900,000 from the fourth quarter and up $300,000 from the first quarter of ‘14. The decrease from the prior quarter was primarily due to less trading revenue from our European group while the increase from prior year quarter was primarily due to more trading revenue from our corporate SBA, and TBA groups. New issue and advisory revenue was $1.5 million in the first quarter of 2015, which was down from the prior quarter $2.2 million but up from the first quarter of ‘14, $300,000. First quarter 2015 principal transactions revenue was $400,000, which compared favorably to the prior quarter, negative $300,000 but unfavorably to the year ago quarter of $1 million. This $400,000 consisted primarily of positive revenue from the company's CLO investments which was partially offset by negative mark-to-market adjustments on one of the company’s the other equity investments. The decrease from the prior year quarter was primarily the result of lower revenue recognized from the company's investment in EuroDekania, partially offset by the positive revenue from the company’s CLO Investments. Our asset management revenue totaled $2.3 million in the first quarter of ‘15, down $2.2 million compared to the fourth quarter of ‘14 and down $1.8 million compared to the year ago quarter. The decrease from prior quarter was primarily the result of incentive fees in our European separate account business in the fourth quarter of ‘14, which did not recur in the first quarter of ‘15. The decrease from the prior year quarter was primarily due to the successful auction and redemption of two of our managed CDOs and the transfer of several collateral management agreements for our legacy ABS-CDOs during ‘14, which reduced CDO asset management fees. In addition, a decrease from the prior year quarter was also due to incentive fees in our European separate account business in the first quarter of ‘14. Other revenue totaled $1.3 million in the first quarter of ‘15 compared to $3.2 million in the fourth quarter and $900,000 in the first quarter of ‘14. Variation across the periods presented was primarily the result of the revenue share payments related to the sale of the Star Asia Group, which fluctuated due to the amount of incentive fees received during certain periods. Compensation and benefits expense for the first quarter of ‘15 of $7.6 million was basically unchanged from the fourth quarter of ‘14 and decreased $400,000 from the first quarter of ‘14. Compensation as a percentage of revenue was 59% in the first quarter of ‘15, compared to 43% in the fourth quarter and 60% in the first quarter of ’14. The compensation ratio in the fourth quarter of ’14 benefited from the increase in other revenue, which generally does not have associated compensation expense, as well as the reversal of bonus accrual during that fourth quarter period. The number of IFMI employees was at 104 as of March 31 of ’15, compared to 111 as of December 31 of ‘14 and 132 as of March 31 of ’14, resulting in an annual decrease of 21%. As Lester mentioned in the quarter, we saw decline in total non-compensation operating expenses, excluding depreciation and amortization, which totaled $4.7 million, representing a $1 million decrease quarter-over-quarter and a $1.9 million decrease year-over-year. The decreases occurred across all line items. We continued to be diligent about managing expenses. Based on our current level of operating activity, we believe $4.5 million per quarter is the reasonable target range for our non-compensation operating expenses, which should drop to about $3.5 million once the sale of our European operation is completed, subject of course to some volatility and clearing charges depending on the level net trading revenue. In terms of our balance sheet as of March 31 of ‘15, our total equity was $55.7 million, a decrease of $800,000 from the end of the year. We had $40.9 million of equity capital invested in our net trading portfolio and $25.8 million invested in our principal investing portfolio. The other investments of fair value line item, represents our principal investing portfolio and includes our recent investments in CLO positions. The $25.8 million balance includes $20.4 million on CLO investments. As of the end of the quarter, consolidated corporate indebtedness was carried at $28.2 million and we had $5.1 million of unrestricted cash on the balance sheet. Although, we do feel we could put more capital to use productively, we believe that for now our unrestricted cash balance of $5.1 million, combined with the $40.9 million of net assets from our highly liquid trading portfolio and the $25.8 million invested in our principal investing portfolio are sufficient to fund our near-term business model. As Lester noted, we've announced a $0.02 dividend for the quarter and will continue to review the dividend policy on a quarterly basis. The dividend is payable on June 2nd to stockholders of record on May 19th. We expect to file our 10-Q no later than Friday, May 8. With that, I'll turn it back over to Lester for closing remarks.
Lester Brafman: Thanks, Joe. With that, I'll open up the call for any questions
Operator: [Operator Instructions] You have a question from [Dan Carlisle] [ph].
Dan Carlisle: Hi. Good morning. Congratulations on your efforts. It's really showing through here. Was wondering if you could talk a little bit more about -- are there any additional things that come with the finalization of the sale in terms of capital charges or other kinds of balance sheet flexibilities that are improved once the European operations are spun off completely? Thanks.
Lester Brafman: Sure. Joe, do you want to take that one?
Joe Pooler: Yes. Dan, we expect to receive at closing about $6 million to $7 million. The upfront cash as well as the repayment of the current intercompany balance CCFL and the company are due to be repaid at June 30 or at closing, so that will be incremental. And then the earnout may…
Dan Carlisle: Part of they may fluctuate, correct?
Joe Pooler: Yes. It’s moving around a little bit, so that’s why we think between $6 million and $7 million as our current estimate.
Dan Carlisle: Okay. And do you carry any financial receivables or anything along the lines of that from the balance sheet perspective might be relative to the transaction?
Joe Pooler: No. Daniel’s company is buying CCFL balance sheet. The only balance sheet item would be the intercompany number.
Dan Carlisle: So just -- quick search, to find, this is a very big transaction once it’s completed.
Joe Pooler: Yes.
Dan Carlisle: Thank you very much.
Operator: [Operator Instructions] At this time, there are no further questions. I would now like to turn the floor back over to Mr. Lester Brafman for any additional or closing remark.
Lester Brafman: Thanks everybody for calling in and going through that with us. And we just look forward to this in the second quarter. And we hope to -- again like I said, we hope to close the European acquisition by the end of this quarter. So, that’s all I have. Again thanks everybody for joining.
Operator: Thank you. This concludes today’s conference. You may now disconnect.